Operator: Good morning, ladies and gentlemen. Thank you for standing by. Welcome to Silver Wheaton’s 2013 Third Quarter Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. (Operator Instructions) Thank you. I would like to remind everyone that this conference call is being recorded on Tuesday, November 12 at 11:00 AM Eastern Time. I will now turn the conference over to Mr. Patrick Drouin, Vice President of Investor Relations. Please go ahead sir.
Patrick Drouin: Thank you, operator. Good morning, ladies and gentlemen and thank you for participating in today’s call. I am joined today by Randy Smallwood, Silver Wheaton’s President and Chief Executive Officer; Gary Brown, Senior Vice President and Chief Financial Officer; and Haytham Hodaly, Senior Vice President of Corporate Development. I would like to bring to your attention that some of the commentary in today’s call may contain forward-looking statements. There can be no assurances that forward-looking statements will prove to be accurate as actual results and future events could differ materially from those anticipated in such statements. Please refer to the section entitled description of the business risk factors in Silver Wheaton’s Annual Information Form, which is available on SEDAR and in Silver Wheaton’s Form 40-F on file with the U.S. Securities and Exchange Commission. The Annual Information Form sets out the material risk factors that could cause actual results to differ including the absence of control of our mining operations from which Silver Wheaton purchases silver, risk related to such mining operations and the risk of a decline in silver prices. Lastly, it should be noted that all figures referred to on today’s call are in U.S. dollars unless otherwise noted. Now, I would like to turn the call over to Randy Smallwood, our President and Chief Executive Officer.
Randy Smallwood: Thank you, Patrick and good morning, ladies and gentlemen. Thank you for dialing in to our third quarter 2013 conference call. We are very proud to announce that in terms of silver equivalent production and sales, 2013 is well on it's way to becoming our best year ever at Silver Wheaton. We had another record quarter of production putting us on track to exceeding our 2013 guidance of 33.5 million silver equivalent ounces. The third quarter also represented the second best quarter we have ever had in terms of ounces sold. The strength in sales was the result of our year-to-date record production flowing through that sales pipeline. This was specifically true of the Sudbury and Salobo mines both of which began delivering consistent sales to us in this third quarter. Today we also announced our fourth quarterly dividend of 2013 $0.09 per share, our dividend policy gives shareholders a significant and sustainable portion of our operating cash flows and provides direct exposure to our strong production growth as we grow so will our dividend. And as announced this past week subsequent to quarter end we added a new gold stream on the Constancia Project with HudBay Minerals and late last night we announced the acquisition of an early deposit [ph] gold stream with Sandspring Resources on a Toroparu Project down in Guyana. We will explain both of these in more detail shortly. These transactions once again highlight the effectiveness of our business model which provides well needed funding to our operating and development partners while providing Silver Wheaton shareholders exposure to precious metals production from high quality mines and projects. With respect to our third quarter performance we achieved record production of 8.9 million silver equivalent ounces an increase of 17% from the third quarter of 2012. Silver equivalent sales were 52% higher than a year ago coming in at 7.8 million ounces. While both production and sales were higher in the third quarter, the average realized silver equivalent price was 32% below the third quarter of 2012 which of course has a direct impact on our revenue earnings and cash flow. Gary Brown our Chief Financial Officer will provide more detail on our financial result shortly. With respect to the dividend policy earlier this year we made improvements to this policy in order to reduce the volatility which is caused by rapid moves in silver prices and quarterly fluctuations in our produced but are not yet delivered ounces. Our amended policy provides investors with sustainable and now more stable and predictable dividends that are directly tied to both commodity prices and Silver Wheaton’s organic growth. As a result of this new policy our fourth quarterly dividend of 2013 will be as mentioned $0.09 per share; this is almost 30% higher than it would have been using the previous dividend policy. So this is delivered to our shareholders. With respect to our asset portfolio subsequent to the end of the third quarter Barrick announced the suspension of the construction activities at the Pascua-Lama project. Given our stream for 25% of the life of mine silver from Pascua-Lama this announcement certainly was disappointing. That being said we do believe that Barrick’s decision was fiscally prudent and should improve the economics of this project going forward. Furthermore Silver Wheaton did secure an additional year of production from three of Barrick’s other mines in exchange for extending the Pascua-Lama completion test deadline by 1 year to the end of 2017. Though the project suspension is clearly not the ideal situation we view the additional year of silver as adequate compensation for extending the deadline and we continue to believe in the Pascua-Lama project. On the corporate development front we remain very busy as evidenced by our two recent announcements regarding HudBay and Sandspring. Firstly last week we announced that Silver Wheaton had acquired 50% of the life of mine gold production for HudBay’s Constancia project for a $135 million. We have the option to pay this $135 million with either cash or Silver Wheaton shares thus allowing us to maintain our capacity on a conservative balance sheet and our payment will be made only when HudBay has incurred $1.3 billion in capital expenditures at Constancia. Production from this gold agreement is forward weighted with the bulk of the gold production being delivered in the first five years coming from the Pampacancha deposit at Constancia. This gold stream is an addition to an existing silver stream event from which we will receive 100% of life of mine silver from Constancia. Furthermore yesterday we announced that Silver Wheaton has entered into an early deposit gold stream agreement with Sandspring Resources for the Toroparu project in the Republic of Guyana in South America. This is our first early deposit agreement and we see it a natural addition to our portfolio streaming agreements. This innovative agreement model was created to provide further exposure to high potential, but earlier stage projects. The early deposit agreement structure allows us to act upon these opportunities while minimizing the risk and upfront capital and while maintaining our focus on high-quality accretive acquisitions regardless of the size of the transaction. Since this type of agreement is new for Silver Wheaton, we can use the Sandspring transaction to illustrate how the early deposit structure works. Based on Toroparu’s project, on the Toroparu projects currently reported reserves and resources and technical studies, we estimate that the upfront payment for a 10% life of mine gold stream for this project would be worth $148.5 million. Given the early stage of the project, we will advance of Sandspring $13.5 million upon closing of the transaction in order to secure the rate to purchase that 10% gold stream. The initial funds provided are intended to carry Sandspring through the process of completing a bankable feasibility study and finishing up all of its permitting process. Once these are completed, Silver Wheaton should have a higher confidence level on the project economics and we can then decide whether or not to proceed with the gold stream. Should we decide to go ahead, we will pay the remaining portion in the upfront payment to help Sandspring build the mine once they made a decision to move forward and have arranged adequate financing. If on the other hand we decide not to proceed, Silver Wheaton is entitled to a return of $11.5 million. This early deposit agreement structure is very appealing to Silver Wheaton as it gives us the ability to lock in precious metal streams on promising projects and in early stage for very little upfront capital. From our counterparties’ perspective, it is also very attractive as it provides funding to allow them to advance their project without subjecting the shareholders to express this dilution as would be required in today’s challenging equity market environment. Given the benefits to both parties involved in these transactions the nature of today’s equity market for junior minors, we are confident that there will be additional opportunities using this early deposit structure. With the development subsequent to quarter end, Silver Wheaton has adjusted its 2017 guidance to reflect the delay at Pascua-Lama, which was partially offset by the addition of the gold stream from Hudbay’s Constancia project. As a result, our 2017 guidance has been lowered to 42.5 million silver equivalent ounces from 49 million ounces previously. To keep this in perspective, this still represents an increase of 45% over our 2012 production levels. It is also important to highlight that the bulk of this growth is front-end loaded, primarily coming from the continued ramp up at the Salobo mine in Brazil and the startup of Constancia in late 2014. So in summary, Silver Wheaton continues to have one of the strongest organic production growth profiles in the precious metals industry with over 45% growth anticipated in the next five years. And while we are in an ideal market add to our portfolio of high-quality assets, we remain prudent and measured in our pursuit of additional accretive opportunities. Our early deposit structure will also give us access to some of the more exciting earlier stage projects for very limited capital upfront delivering great optionality in the Silver Wheaton and our shareholders. And finally, with the robust organic growth profile, a strong track record of accretive growth and more silver reserves than any silver company in the world, we believe that we continue to offer the premier investment opportunity in the precious metal space. With that, I would like to turn the call over to Gary Brown, our Senior Vice President and Chief Financial Officer to provide a bit more detail. Gary?
Gary Brown: Thank you, Randy and good morning ladies and gentlemen. Prior to reviewing Silver Wheaton’s unaudited financial results for the three months ended September 30, 2013, I would like to remind everyone that all monetary figures discussed are denominated in U.S. dollars unless otherwise noted. The company’s precious metal interests generated record attributable silver equivalent production of over 8.9 million ounces in the third quarter of 2013, 17% higher than production from the comparable period of the prior year due primarily to the production generated from the recently acquired 777, Sudbury and Salobo gold interests, with the contributions from these new sources of production being partially offset by lower production from the Penasquito and Barrick silver interests. Approximately 76% of this production related to silver, with the remainder relating to gold. Silver equivalent sales volumes amounted to 7.8 million ounces in Q3 2013 representing a 52% increase from Q3 2012 with such increase being primarily attributable to gold deliveries relating to 777, Sudbury and Salobo combined with higher silver deliveries from San Dimas and other silver interests with the latter being primarily attributable to zinc driven 777 Silver, Cozamin, Neves-Corvo. Payable silver equivalent ounces produced but not yet delivered by our partners amounted to 5.3 million ounces as of 30, 2013, an increase of about 300,000 ounces over the quarter with most significant increased being attributable to Yauliyacu. Revenue for the third quarter of 2013 amounted to $166 million representing a 3% increase from the comparable period of prior year with increased sales volumes more than offsetting the 32% decrease in the average realized silver equivalent selling price of $21.26 per ounce for the quarter. Earnings from operations for the third quarter of 2013 amounted to $91 million representing a 28% decrease relative to third quarter of 2012 with operating margins decreasing by 23% to 54% in the third quarter of 2013 due to a combination of lower commodity price and higher cash cost and depletion rates associated with the recently acquired gold interests. Cash based G&A expenses were $7.1 million in third quarter of 2013 representing an increase of $1.9 million from Q3, 2012 with the increase being primarily attributable to higher donations and personnel products, with the number of full time employees increasing by 16% with 29 employees at September 30, 2013. The company anticipates the cash based G&A expenses for fiscal 2013 should fall in the lower end of the previously provided guidance of $32 million to $35 million. Interest costs for the third quarter of 2013 amounted to $4.8 million resulting in an effective interest rate on outstanding debt was about 1.7%. Of this interest $3.2 million was capitalized to the Pascua-Lama and Constancia mineral interests resulting in an interest expense reflected on the income statement of $1.7 million. Other expenses were just under $1 million for the third quarter of 2013 which was primarily attributable to stand by fees on the revolving credit facility which was largely undrawn for the quarter. Net earnings amounted to $77 million in the third quarter of 2013 compared to 120 million in the comparable period of the prior year with basic earnings per share decreasing by 35% to $0.22 per share from $0.34 per share with the decrease being primarily attributable to the decrease in commodity prices. Operating cash flow for the third quarter of 2013 amounted to $119 million $0.33 per share compared to $129 million or $0.36 per share for the third quarter of prior year. Based on the company’s modified dividend policy whereby the dividend is based on 20% of the average operating cash flow generated for the prior four quarters the Company’s Board has declared divided of $0.09 a share payable to shareholders of record on November 27, 2013. During the third quarter of 2013 the value of the company’s long term investment portfolio of shares and other publically invested mining and mineral exploration companies increased by $10 million which has been reflected in the statement of other comprehensive income. The operational highlights for the third quarter of 2013 includes the following, attributable production and sales relative to the San Dimas amounted to 1.7 million and 1.6 million ounces of silver respectively during the third quarter of 2013 including 375,000 ounces received from gold core. The production represented a 29% increase relative to the comparable period of the prior year driven by higher mill throughput combined with higher grade ore. Yauliyacu who produced 639,000 ounces of silver during the third quarter of 2013 consistent with comparable quarters of the prior year. However, only 13,000 ounces of silver delivered in Q3, 2013 resulting in an increase in ounces produced but not delivered of over 500,000 ounces in the quarter. As of September 30, 2013 there was approximately 1.6 million ounces of payable silver contained and concentrate that has been produced but not shipped relative to Yauliyacu. Penasquito generated attributable silver production of 1.6 million ounces during the third quarter of 2013 representing a 16% decrease from the prior year with such decrease being attributable primarily to the scheduled mining of lower grade material with such being partially offset by higher mill throughput. It is important to highlight the production in Q3 2013 was 14% higher than Q2 2013 with Goldcorp having increased no throughput to an average of 110,000 tons per day for the most recent quarter. Silver sales for the third quarter of 2013 relative to Penasquito amounted to 1.4 million ounces consistent with the prior year with payable silver ounces produced, but not yet delivered to Silver Wheaton amounting to 1.1 million as of September 30, 2013. With respect to water availability at Penasquito, Goldcorp has stated that the Northern Well Field project progressed on schedule during the third quarter of 2013 and highlighted that year-to-date rainfall has already exceeded the annual average, which should contribute to the recharging the water basin over time. This Northern Well Field is expected to be available in the second half of 2014. The 777 mine generated attributable silver equivalent production of 1.3 million ounces during the third quarter of 2013 comprised of 18,000 ounces of gold and 201,000 ounces of silver, a 9% increase from the prior quarter and a 74% increase from Q3 in 2012 with comparable period of prior year reflecting about two months of production. Silver equivalent sales from 777 amounted to 1.2 million ounces in Q3 2013 which was lower than the prior quarter, with Q2, 2013 sales reflecting the delivery of 4,000 silver equivalent ounces produced in prior quarters. The recently acquired Sudbury gold interest produced almost 6,000 ounces of attributable gold during the third quarter of 2013 slightly lower than the prior quarter with the reduction being primarily attributable to scheduled maintenance activities carried out during the most recent quarter. Sales volumes relating to Sudbury amounted to over 6,500 ounces of gold, with payable gold produced but not yet delivered to Silver Wheaton amounting to approximately 11,000 ounces or 700,000 silver equivalent ounces as of September 30, 2013. The recently acquired Salobo gold interest produced over 8,000 ounces of gold during Q3 2013, an increase of 27% from the prior quarter due to a combination of higher throughput grades and recoveries, with such being attributable to the continued successful ramping up of milling operations. This reflects production from the first 12 million ton per year line, which was operating at about 70% capacity for Q3, 2013. Gold sales relating to Salobo amounted to 6,500 ounces with payable gold produced, but not yet delivered to Silver Wheaton, increasing to approximately 8,000 ounces of gold or 500,000 silver equivalent ounces as of September 30, 2013. The company’s net debt position decreased by approximately $129 million in the third quarter of 2013 to $978 million, primarily attributable to $119 million of operating cash flow combined with $49 million being received through the exercise of warrants being partially offset by $36 million of dividend payments being made during the quarter. As of September 30, 2013, the company had $62 million of cash and cash equivalents on hand and $1.042 billion of debt outstanding, with $1 billion of debt relating to the non-revolving term loan and $42 million relating to the revolving facility. The company’s strong future cash flows combined with the $958 million of available credit capacity under the revolving facility positions the company well to satisfy its funding commitments, sustain its dividend policy, while at the same time providing flexibility to consummate additional accretive precious metal purchase agreements. Lastly, there has been no substantial change in the status of the audit of the company’s taxation years 2005 to 2010 by the Canada Revenue Agency. That concludes the financial summary. And with that, I turn the call back over to Randy.
Randy Smallwood: Thank you, Gary. Operator, we would like to open up the call for questions.
Operator: Thank you. Ladies and gentlemen, we will now conduct the question-and-answer session. (Operator Instructions) And your first question comes from the line of Chris Lichtenheldt from Dundee. Your line is now open.
Chris Lichtenheldt - Dundee: Good morning everyone. Just wanted to ask regarding the Sandspring deal that you announced late last night I guess, a bit of a new and interesting structure and starts to look a little bit like a royalty structure when you consider it small upfront payment with substantial long term optionality. Can you discuss a little bit about you know your views around this particular structure as it relates to some of the other alternatives such as royalty and some of the pros and cons that you see with this arrangement?
Randy Smallwood: You know the structure itself it's definitely stream at this staggered payments we have a 10% you know we pay the 13.5 million upfront to carry it through, it is focused on particular commodity in this case it is gold, from the gold project itself. You know we came up with this concept is to replace some of our earlier equity style investments into the earlier stage projects just to try and get access to some of the promising projects out there. You know when you look at some of these earlier stage development companies out there, there are a few projects out there that are really quite attractive and worthy of it. So this definitely has some strengthens to it in terms of providing a source of capital for these companies to move this project forward. The asset you know is a great asset; the team is a good strong team. And so their capacity in that side not having to dilute in terms of using that stream there, there is definitely some similarities on the royalty side but it's definitely is much more flexible and much more capacity. It gives them a sense of confidence to them going forward that as long as the project continues to shine the way it has that we will be there to help them build that project when it gets there. So I think that’s the advantage, I think it gives versus the royalty structure that it gives us stronger sense of commitment in terms of you know the project itself going forward.
Chris Lichtenheldt - Dundee: And just maybe when we’re talking about royalty versus stream again obviously there was an announcement not too long ago from SMP that they are going to start considering streaming agreements that for the sake of their metrics is that in your mind enhance the appeal of royalties, that’s something you would consider to avoid being considered dead from your counter-parties?
Randy Smallwood: We’re still trying to understand where SMPs thinking is on that opinion and if you certainly look at Moody’s and the other rating agencies they come up with sort of expect the other way and you know we’re still hopeful that we will be able to work through that because we just don’t see it as being that much of an issue and they are bit surprised that SMPs position on that one and so you know I think evidence has shown that the streaming model has definitely some strengths to it that you know it doesn’t require an SMP rating in terms of moving forward and so we’re pretty comfortable with that.
Operator: And your next question comes from the line of Andrew Quail from Goldman Sachs. Your line is open.
Andrew Quail - Goldman Sachs: Just a couple of questions one on Constancia, can you just remind us the payment schedule on a 125 instead of 135, is that, do we expect sort of the 125, Q1 next year and when do you expect that 135 to be paid?
Gary Brown: Yeah you got right, there is an additional 125 million once they reach $1 billion in expenditures on the project which we feel is going to be early Q1 of next year. The 135 million will be paid once they reach 1.35 billion on the project and expenditures. At roughly estimating that to be somewhere around the middle of the year, June, July something like that in that range.
Andrew Quail - Goldman Sachs: And then Randy one more on Sudbury I mean obviously there is a sort of news going around about a potential deal between sort of Vale and (indiscernible). That sort of would sort of bode if they try to repay synergies like that would bode positive for you guys or?
Randy Smallwood: Anything that makes our partners more profitable is positive for us, quite literally and so you know we had some discussions with them about that contract [ph] we recognize that there are some opportunities there for both Vale and everyone else in the district in terms of some synergies that way. We do have structures within our contract that protect us to make sure that there is no issues in that perspective but you know yeah we consider it a positive, again helping our partners, the healthier we’re.
Operator: (Operator Instructions). Your next question comes from Cosmos Chiu from CIBC. Your line is open.
Cosmos Chiu - CIBC: Good morning guys.
Randy Smallwood: Hey Cosmos.
Cosmos Chiu - CIBC: Hey. And congrats on a solid quarter, I got a few questions here, Randy and Gary team, Gary you mentioned that it looks like there is a good chance that you could exceed your 2013 guidance or I think that’s what you mentioned. Maybe if you confirm my understanding that Q4 is usually the strongest quarter given that the operators trying to meet their full year guidance? Is that sort of your expectation and/or understanding this year as well?
Randy Smallwood: Yes. Q4 is that’s typical, on top of that, we have got several projects that have growth being built in particularly Sudbury with the top of mine ramping up and coming on stream in terms of production, but also continued ramp up of production at the Salobo. So we have that growth combined with the fact that the rest of our asset mix is going to have, there will be a push. Typically, what we see is not too much production side, because most of these operations are running at their capacity, but where we see it is the sales side. That’s the key for bump that we have seen in the past is that what they will do is they will squeeze out those produced, but not yet told inventories and try and make sure that they get it sold and into the – on to the balance sheets. And that of course is good news for us.
Cosmos Chiu - CIBC: And maybe if I can switch gears a little bit here, when I looked at your Sandspring agreement last night that’s on gold and looking back on the HudBay, the newest transaction that was also a gold stream as well. Randy, maybe if you can give me some kind of renewed thinking of indeed there is one on gold versus silver opportunity?
Randy Smallwood: Yes. I mean, we are focused on silver. We do see a lot of silver opportunities out there. I think one of the things that has to be said is that the gold commodity prices has dropped significantly more than the base metal production, which is where we see a lot of the silver byproduct production opportunities out there right now. So there is – I think there is, it can probably be said that there is more demand for financing, for stream financing in the gold space than perhaps there is in the base metal price for silver byproduct production. And so that’s one of the reasons that we seem to be being able to crystallize more of these gold than silver, but I still look at our active portfolio in terms of the on the corporate development side, there still is a heavy silver bias. So the first criteria for us, is of course quality of asset and that’s where we are silver focused, but we are not scared to have a bit of gold in the mix.
Cosmos Chiu - CIBC: For sure. And maybe on San Dimas, to me the production in Q3 was a slight bit higher than what I had expected for the quarter given my understanding of how to contract works? I thought the contract kind of goes from August to August and given that the threshold had been in Q2 that it would have some kind of impact on Q3 as well or am I doing my math sort of incorrectly?
Randy Smallwood: You are right. It goes once they reach to a certain level of production, then they keep half the silver going forward. And then as of August 6, I think is the actual anniversary date, I might have the date slightly wrong, as of that date it goes back to us receiving 100% of the silver during the Q3. So for the majority of August and all of September, we will get 100% of that silver and it continue working their way towards that trigger point which typically happens in Q2 when they get back to 50%.
Cosmos Chiu - CIBC: Okay, great. That’s all I have. Thank you.
Randy Smallwood: Thanks Cosmos.
Operator: And your next question comes from the line of Michael Gray from Macquarie Capital Markets. Your line is open.
Michael Gray - Macquarie Capital Markets: Hey good morning guys. Thanks for taking my question. On the early deposit streaming agreements, which I like the structure, just want to confirm timing and election rates, am I right with Sandspring that once they finish a bankable feasibility study and EIS and permitting that your payment you could choose to go for the agreement, but your payment of $135 million approximately wouldn’t be due until project financing is secured?
Haytham Hodaly: Hi, Michael, it’s Haytham. Yes, that’s correct. We put up basically $13.5 million now and once a final feasibility study has been released and project financing has been secured we contribute on a pro rata basis.
Michael Gray - Macquarie Capital Markets: Okay, perfect. And then in terms of pursuing more of these deals, does that – is the due diligence bar changed, are you able to be a little bit more nimble and then just get more risk taken out of the project, is that part of the strategy as to not necessarily have to do the same level of due diligence?
Randy Smallwood: I would actually – I think the level of due diligence is the same, it’s just that we don’t have the same confidence levels as you do when a project sets the same feasibility. We still are prepared all the way down to be comfortable that there is healthy operating margins on these projects and that they fall in the lowest half of the respective cost curves and so you know when a project like Toroparu is sort of presented where they have done excellent work. A lot of the work is done in excessive feasibility levels. We can take confidence in the fact that it's got healthy operating margins which is key trigger for us in terms of whether the offset [ph] is worth even investment and we just see an asset here that you know that is worthy of that. There has been very busy in that face and we have been looking at a lot of projects out there and I hate to tell you there is not very many that we found worthy of investing into but this is one of them.
Michael Gray - Macquarie Capital Markets: And then on San Dimas with the threshold going up to 6 million next year for them having to lever much more but I guess 14th, next calendar year and expense is 2500 in Q1, 2014 at the mill. Have you factored in 3000 ton per day expansion going forward into your projections?
Gary Brown: No we haven't. They haven't made the official decision yet that 3000 tons per day, I know they are studying it. They have had great exploration success in that whole western region down there, the western block and the Sinaloa Graben. That western block was an area that was operating back when we originally acquired the mine back in the early 2000s and you know they had some real promise and so I’m pretty comfortable that you know the progress, the success that they have had down there I think Joe has done a really good job and the entire (indiscernible) team has done a really good job in terms of getting there. And so we’re comfortable that they will be able to handle that when it does kick up.
Michael Gray - Macquarie Capital Markets: So that projection being relatively flat between 2013 to 2017 does it reflect on upside right now?
Randy Smallwood: That’s right.
Michael Gray - Macquarie Capital Markets: Great. Thanks. That’s all I have.
Randy Smallwood: Operator I don’t know if you want to prompt for some additional questioners?
Operator: (Operator Instructions). And your next question comes from John Tumazos from John Tumazos Very Independent Research. Your line is open.
John Tumazos - John Tumazos Very Independent Research: My question is on the debt repayment that was really good to see. Probably it's a huge increase in your deal flow given some of the smaller companies have continued to probably raising money and there are also couple of technical surprises in the industry, debate about (indiscernible) resource calculations or ask while getting halted or (indiscernible) getting shut which was one of the other mines you were getting little participation. How are you changing if at all your criteria given issues of there is always technical uncertainty it just feels a little more when the price doesn’t bail you out. But just tell us how you’re managing things going forward?
Randy Smallwood: Well I think the biggest change is of course the price curve that we use in valuing our assets going forward and you know that changes with the commodity price and with the market. We always buy in the context of the current market and obviously this is a bit tougher market than it was a year ago and so that being said we have always been really taking great effort to make sure that our technical due diligence is very thorough. So we try and avoid some of these issues and move forward. Well that being said you can’t catch everything right? And some of the challenges at Pascua-Lama it's why we came up with structures where we get silver from the other mines until the completion test is being satisfied because it does limit our risk and our shareholders risk from that development side, the obvious completion test in place to ensure that we do have the measure of protection if not even I would say some pretty healthy compensation with respect to project delays. So we always, every transaction we look at we try and identify where the risks are and then try to address those risks so that at least we’re covered if not compensated for those risks. You know I think the experience we have had at Pascua-Lama I mean it is still going to be one of the best gold mines in the world when it's up and running, gold and silver, it’s going to be a healthy silver producer too. And we are confident that it will get there. And we await sort of the updated schedule out of Barrick, in terms of moving that forward. They of course are still working on the environmental side and moving it forward, but that’s why we structured the agreements the way we are. Assets like (indiscernible), the extension of life, when we entered into the transaction (indiscernible) was set down about now and they were actually applying for a couple of extra years of production growth, I think low grade material. Unfortunately, that low grade material may have been ore at $1600 gold, but I don’t think it’s ore at $1300 gold. So that’s one of the reasons that it’s sort of down. You have to make sure you cover all those areas when you are going through the details and studying it. And it’s always a measure of risk. We try and take as much of that risk out of the equation as we can and where we do we have risk in there we try and have offsets that reward us in the event that some of that risk is returns to us. And we continue as we like to say every one of our agreements just slightly better than the one prior to that. And we are starting to get pretty good out at it, I think.
John Tumazos - John Tumazos Very Independent Research: Thank you.
Randy Smallwood: No problem, John. Thanks.
Operator: And your next question comes from the line of John Bridges from JPMorgan. Your line is open.
John Bridges - JPMorgan: Good morning, Randy. Everybody very interested in the new structure, just wondered though what in particular you like about in Sandspring project, it looks quite remote and I guess you are going to be very exposed to gas prices?
Randy Smallwood: Yes, it’s – I don’t know, I mean, in terms of access, the companies will access, they do have a hydroelectric project in the area, run-of-river hydroelectric project in the area that we have received approval for in terms of moving forward. So that should offset a lot of the energy costs downward. Although I haven’t operated personally in Indiana, I have been down several times. I visited the (indiscernible) operation. I have always been impressed with the country. It seems very focused. I mean, I actually think it gets – I think it’s a country that’s worthy of investing into and others have in the past, they have had success there. It’s a country that appears to be very good, stable. And so infrastructure wise, this is a relatively simple construction project the asset itself, it’s the quality of the work, it’s one of the things that we always look for the quality of work, the team at Sandspring has done a great job. As I mentioned earlier, number of aspects on this project are in advance, they are much better than pre-feasibility study level and the quality of the resource work on it. We are very comfortable with the asset. And so it really comes down to us going through, we are tearing apart, we go all the way back to the (indiscernible) I would say that we have rebuilt the block model, we have run sensitivities, we have run in this case, the result in pit, we run our own optimizations these things stood the test and we are pretty comfortable with the team, some great experience on the team in Sandspring. So all the way across the board, we just feel this is – and there is a few companies like this, but there is a lot of juniors out there that are suffering. And we just think that this is one of them where the project definitely will be and lot more than what the market is giving us right now.
John Bridges - JPMorgan: Okay, interesting. That’s very helpful. Thanks a lot.
Randy Smallwood: Well, probably John. I think that’s it. Thank you everyone for dialing in to our Q3 2013 conference call and you know that Q4 is going to be a good one. Thanks again.
Operator: Thank you everyone for dialing in to our conference call today. Please disconnect your lines at this time.